Operator: Greetings, and welcome to the Gannett First Quarter Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Matthew Esposito, Investor Relations. You may begin sir.
Matthew Esposito: Thank you. Good morning, everyone, and thank you for joining our call today to discuss Gannett's first quarter 2023 results. Presenting on today's call will be Mike Reed, Chairman and Chief Executive Officer; and Doug Horne, Chief Financial Officer. During this call, we will discuss Gannett's financial results for the quarter. If you navigate to the Gannett website, you will find that we have posted an earnings supplement in addition to our earlier press release. We will be referencing it today on the call as it provides you with additional detail on this quarter's performance. Before we begin, please let me remind you that this call is being recorded. In addition, certain statements made during this call are or may be deemed to be forward-looking statements, including those with respect to future results and events and are based upon current expectations. These statements involve risks and uncertainties that may cause actual results and events to differ materially from those discussed today. We encourage you to read the cautionary statement regarding forward-looking statements in the earnings supplement as well as the risk factors described in Gannett's filings made with the SEC. Except as required by law, we undertake no obligation to publicly update or correct any of the forward-looking statements made during this call. In addition, we will be discussing non-GAAP financial information during the call, including same-store revenues, free cash flow, adjusted EBITDA, adjusted EBITDA margin and adjusted net income attributable to Gannett. You can find reconciliations of our non-GAAP measures to the most comparable U.S. GAAP measures in the earnings supplement. Lastly, I would like to remind you that nothing on this call constitutes an offer to sell or a solicitation of an offer to purchase any interest in Gannett. The webcast and audio cast are copyrighted material of Gannett and may not be duplicated, reproduced or rebroadcasted without prior written consent. With that, I would like to turn the call over to Mike Reed, Gannett's Chairman and CEO.
Michael Reed : Thanks, Matt. Thanks everyone for joining our first quarter earnings call this morning. We are pleased to report that 2023 is off to a great start. Adjusted EBITDA was down only 2% in the first quarter compared to the prior year after being down 22% in the fourth quarter of 2022. And entering Q2, we believe our most challenging comparisons to prior year are behind us. Excluding the impact of foreign currency, adjusted EBITDA was actually flat to the prior year. Our same-store revenue trends also improved sequentially in the first quarter and we expect this trend to continue into the second quarter. Net income in the first quarter grew by $13.3 million from the prior year to $10.3 million. That compares to a net loss of $3 million in the first quarter of last year. As forecasted in our last earnings call, we expect to achieve year-over-year adjusted EBITDA growth in 2023 as we capture the benefits from our cost management initiatives, see improving revenue trends, and cycle more favorable comparisons. And the solid performance in the first quarter of this year gives us the confidence to increase our 2023 full year outlook with respect to adjusted EBITDA, net income and free cash flow. To put it concisely, we believe that we are at an inflection point in the trajectory of our company. You'll hear this throughout the call this morning as we are moving nicely in the right direction with regard to most of our financial measures. We believe our results in the first quarter demonstrate the effectiveness of the actions we put in place in the later half of 2022 to better position the company for long-term success. We are operating more efficiently from these efforts, resulting in anticipated annualized savings of at least $220 million in 2023. And our organizational structure changes have established a solid foundation for anticipated continued growth in our highly recurring digital businesses. We also remain committed to our aggressive debt repayment strategy evidenced by the $37 million of debt repayment in the first quarter, which reduced our leverage in the quarter as well and continues to improve our capital structure. As our digital revenue streams continue to grow, our cost structure comes down and inflationary pressures ease, we believe we will be able to generate significant free cash flow and year-over-year adjusted EBITDA growth in 2023. With that, I'd like to discuss the major highlights of the first quarter. When we spoke last on our fourth quarter earnings call in February, we outlined a more balanced approach between increasing profitability and growing digital-only paid subscriptions. We will continue to pursue paid digital subscriptions growth. However, we have become more targeted in our subscription acquisition strategy with an increased focus on profitability and ARPU. Our digital-only subscription volume in the first quarter reflects this refined balance of volume versus profitability. In the first quarter, digital-only paid subscriptions increased 15% year-over-year and remained relatively unchanged from the fourth quarter. This was in line with our expectations as we anticipated lower net ads in the first quarter as we focus on improving product efficiency and refocusing our marketing and pricing strategies. We anticipate this to continue in the second quarter. However, we do expect to see an increase in our subscription acquisition volumes as we move into Q3 and Q4 of this year. Even with our shift in focus, our digital-only circulation revenues had strong growth of 20% year-over-year on a same-store basis in the first quarter and we expect this growth to continue throughout the year. We believe that over the medium and long-term, we have a significant opportunity to grow our digital-only subscriber base given our large organic audience. For context, during the first quarter, we had 186 million average monthly unique visitors. We believe our current digital offerings have a significant addressable market for us to continue to attack and we are making further investments in our infrastructure to improve our penetration of this very sizable market and to further expand the audiences that visit our platform. Investments in this area include content, content creation, product enhancement, product improvements, and importantly, data collection and analysis. Data remains the most significant driver for growth with regard to our content strategy, our product strategy, and our marketing and pricing strategies. Within this significant addressable market, we have an active and engaged set of consumers across our registered users and newsletter subscribers. In the U.S. alone, at the end of the first quarter, we had 6.5 million registered users, and that grew 63% year-over-year. We also had 8.7 million newsletter subscribers, growing 16% year-over-year, of which 6.2 million of those were not yet registered users. So that's nearly 13 million engaged consumers that are not yet subscribers who we are interacting with on a regular basis. And we expect these registered user numbers to continue to grow. Our goal is to build on those relationships, activate those users and convert a portion of this highly engaged pool of users into subscribers. Now switching gears a bit. One of our big growth opportunities is further monetization of this large audience in this content platform beyond subscriptions and beyond advertising. As previously announced, partnerships are a key focus of ours in order to leverage this growth opportunity. In addition to the partnerships previously announced in the sports gambling and financial services sectors, we have plans to establish additional partnerships covering big sectors such as home services and education. We anticipate these partnerships as well as others in the pipeline will allow us to expand our total addressable market and increase the overall monetization of our content platform. We'll have much more to come and much more to announce in this area of our business over the next few quarters. We are also excited about Kristin Roberts joining Gannett as our Chief Content Officer. Kristin brings over 2 decades of experience to the role, most recently as Chief Content Officer of McClatchy. In her previous roles, Kristin has architected audience growth and engineered strategic and tactical changes to create new business categories for content, creating the fuel and investment needed to sustain high quality journalism. Kristin has a proven track record creating audience growth and we are energized that her expertise will help drive our digital transformation and content strategy across USA TODAY and our USA TODAY NETWORK. Her focus will be on leveraging data science to refine our content strategy that drives agile interactions with our consumers, ensuring our newsrooms deliver a dynamic digital model for journalism and monetizing Gannett's breadth of content at both the national and local levels. All of these efforts are expected to lead to additional opportunities to further monetize and expand our significant audience. We are really thrilled to have Kristin on the team and we look forward to her contributions towards driving our transformation. Now, turning to our Digital Marketing Solutions business. We achieved core platform revenues of $111.4 million in the first quarter of 2023, increasing approximately 4% year-over-year, while maintaining strong adjusted EBITDA margins. ARPU and budget retention both grew year-over-year as well. We continue to expand our DMS product offerings through our freemium experience, which contributed to our DMS registered users surpassing 100,000 in the first quarter. Our registered user count continues to show impressive growth as demonstrated by nearly doubling from 55,000 registered users at the end of the fourth quarter. These freemium registered customers are in addition to our nearly 15,000 core platform customers. Our freemium customer segment provides an interested and engaged base of businesses to introduce low ARPU do-it-yourself or buy online products and we expect to start to more meaningfully monetize this business as we move forward. We continue to remain very optimistic about the DMS business and its growth potential. First, this business has many similarities to a subscription or SaaS model in that it generates high revenue and client retention. We have historically retained 95% of customer revenue comparable to that of a SaaS or subscription product. There are over 30 million small businesses in the U.S. and those businesses are increasingly dependent on a digital strategy to grow their own business, and importantly, to generate and manage leads. We serve these businesses with our digital platform that helps our business partners establish and optimize their digital presence. We assist them with optimizing their marketing spend across an increasingly complex online digital ecosystem while optimizing their lead management process. Finally, given our longstanding involvement and knowledge of the communities in which we operate, we believe that we have a true advantage at successfully reaching the small and medium sized business segment with a lower overall CAC. Let's talk about generative AI for a second, a very hot topic globally and in our industry. Generative AI, while still in the early stages in terms of development, shows tremendous potential to help us improve our business, but, of course, has risks as well. Gannett is committed to being a leader in using AI effectively and innovatively while maintaining unique in-depth and unparalleled content that only our journalists can produce. We continue to explore the possibilities of AI, but have already seen and implemented use cases here at Gannett. Looking at where we can benefit most, one area that stands out is commoditized content, such as weather and event listings. By utilizing generative AI, we can effectively provide basic content to our audience while allowing our journalists to focus on creating more high quality, non-commoditize content and value-added services. We can further leverage AI to improve the product experience in areas such as personalized content recommendations and curated page experiences. And AI can help improve and quicken business decisions in areas such as pricing strategies or balance of premium content on our pages. The applications of AI are vast, and by responsibly leveraging the technology, we can improve the customer experience and create efficiencies that allow our journalists to provide more rich local and national content, all the content that Gannett is known for. Now before turning the call over to Doug, I want to reiterate a few very important points. We had a solid first quarter with noticeable improvement in trends across a broad spectrum of our business. It was very encouraging and our confidence enables us to raise our guidance in several key financial categories. With declining debt and lower leverage, improving same-store revenue trends with a greater portion of revenue coming from digital and the meaningfully lower cost structure, we are well positioned to grow adjusted EBITDA and free cash flow significantly this year over the prior year. And we remain confident in our ability to reach our inflection point towards the end of next year. We believe we are well positioned to execute on our transformation while we delever the company, resulting in significant value enhancement for our shareholders. I'd like to now turn the call over to Doug to provide additional detail and color around our 2023 first quarter as well as the details on the increase to our full year 2023 guidance. Doug?
Douglas Horne : Thank you, Mike, and good morning, everybody. As Mike mentioned, we are excited by the progress we made in the first quarter. Adjusted EBITDA remained relatively stable year-over-year despite facing the most challenging comparisons of the year. Last year's negative trends around revenue, inflationary impacts and currency, all became more significant beginning in the second quarter of 2022. We also improved our adjusted EBITDA margin in Q1 by 80 basis points year-over-year. The stabilization in adjusted EBITDA reflects the successful execution of our cost management initiatives as well as the sustained execution of our strategy. We are optimistic about the ongoing trends, which we anticipate will continue to improve throughout the year, most notably in Q2 and Q3. We believe this puts us in a favorable position to achieve year-over-year adjusted EBITDA growth for 2023. For Q1, total operating revenues were $668.9 million, a decrease of 10.6% as compared to the prior year quarter, or 9.3% on a same-store basis. This represents 100-basis point improvement from the 10.3% year-over-year same-store revenue decreases in the fourth quarter of 2022. And we expect this trend and improvement to continue for the balance of the year. Adjusted EBITDA totaled of $62.9 million in the first quarter of 2023 a slight decrease of 2% or $1.3 million year-over-year to almost exclusively to the impact from foreign exchange rates. The adjusted EBITDA margin was 9.4% compared to 8.6% in the prior quarter. The improvement in adjusted EBITDA margin was driven by the savings captured from our cost management initiatives with expenses related to these initiatives down approximately 12% year-over-year. This is despite the lingering impacts of inflationary pressures. While we believe these costs peaked in late 2022 the flow through impact was still meaningful on a year-over-year basis in the first quarter of 2023. On the bottom line, we ended the first quarter with net income attributable to Gannett of $10.3 million and $5.8 million in adjusted net income. Our net income represents a [Audio Gap] gain on the sale of real estate and other assets and a $17.6 million tax benefit. We continue to expect a full year tax provision to remain in line with our original guidance of 0 to $20 million with the expected tax benefit in the first half of the year being offset by an expected tax provision in the second half of 2023. Total digital revenues in Q1 were $247.5 million down 0.9% year-over-year on a same-store basis. In the first quarter, our total digital revenues accounted for 37% of our total revenues. Digital revenues decreased due to continued softness in digital advertising which started in mid Q2 of 2022 and was down 15.8% in Q1 of 2023 on a same-store basis year-over-year. The decrease in digital advertising revenue was primarily driven by lower monetization rates as compared to the prior year period. We expect to begin to cycle this impact midway through the second quarter of 2023 and return to digital revenue growth. This will help us reach our long-term projection of total digital revenues accounting for more than 50% of our total revenue. The performance in our digital-only circulation and Digital Marketing Solutions businesses is expected to continue to provide the foundation for future growth. On a same-store basis, our digital-only circulation revenues of $35.8 million increased nearly 20% over the prior year period. As we look ahead, we expect ARPU to gradually rise through the rest of the year as we continue to focus our customer acquisition efforts on more profitable subscribers. Print advertising revenue decreased 10.7% compared to the prior year on a same-store basis, reflecting a stabilization and improvement in trends despite the continued secular declines. There has been a significant improvement in print advertising trends on a sequential basis with an increase of over 600 basis points compared to Q4 of 2022. We did experience some softness in the classifieds market, which includes obituaries and employment listings. However, we have implemented self-service order capabilities across both of those verticals, and we are pleased to report that in the initial stages, the self-service functionality has led to an increase in both the order volume and average order size as well as an expanded customer base. Results in print circulation [Technical Difficulty]
Operator: Excuse me one moment please. Hold for a moment please.
Michael Reed : I am going to pick up for Doug here. Results in print circulation have also seen a sequential improvement compared to Q4 of 2022 as a result of the actions we implemented to improve the subscriber experience. We have started to see the results of our investments in addressing the open route situation and distribution challenges, and we've successfully seen the percentage of open delivery routes decrease from 14% to 9% in the first quarter of 2023, that's helped us a lot. It's important to stress that we believe our traditional print business remains a strong source of cash flow, which still has a long tail to it. This cash flow enables us to improve the balance sheet by repaying debt, and of course, it allows us to -- invest in our digital growth opportunities. We are focusing -- we are managing the tail and print as effectively as possible and have increased our efforts to reduce churn with our print subscribers. Revitalizing our local markets is a key objective for us in 2023. Our new Chief Content Officer, Kristin and her team are working to put our customers, readers, viewers and listeners at the forefront of every content decision. This will ensure that we remain vital to the communities we serve while maintaining a sustainable business model for independent journalism. We recognize that investing in our local teams and our local brands is vital to our success, and we are thrilled to have Kristin as part of the Gannett team. In our Digital Marketing Solutions business, total revenue in the first quarter was $112.8 million, an increase of 3.4% year-over-year on a same-store basis. Adjusted EBITDA for the segment was $11.7 million, representing a margin of 10.4% in the first quarter. Average monthly customer count decreased by approximately 4.5%. However, ARPU grew almost 9% versus the prior year. In terms of quarter-over-quarter results, customer count decreased slightly from 15,300 customers in Q4 to 14,700 in Q1 due to the inherent seasonality of our customer base. However, we believe our continued execution, especially with the freemium model, along with the development of additional products and features will increase our addressable market and mitigate at least in part, the effect of seasonality on the DMS business. I'll turn it back over to Doug now to cover the balance sheet. Doug?
Douglas Horne : Thank you, Mike apologies for the technical issues. So at the end of the first quarter, we had a cash balance of $83.1 million, translating to net debt of approximately $1.15 billion. In the first quarter, free cash flow usage was $2.1 million and included $18.2 million in severance and restructuring costs, largely associated with our cost management program. In Q4 of 2022, we highlighted that we anticipate a year-over-year reduction of more than $60 million in our 2023 cash obligations related to expenses such as pension and reorganization costs. In light of our Q1 results, we anticipate a significant improvement in our free cash flow, and we are now targeting free cash flow of $85 million to $105 million for the full year of 2023. We ended the first quarter with approximately $1.23 billion of total debt. Our first lien net leverage decreased to 2.59x, reflecting $37.3 million of total debt paydown in the first quarter. During the first quarter, we repurchased $6.1 million of our 2026 senior notes for approximately $5 million. We also repaid $31.3 million of our term loan through real estate and other asset sales totaling $16.2 million and our quarterly amortization payment of $15.1 million. In Q1, we completed 8 real estate and other asset sales totaling $29.3 million. For the full year of 2023, we continue to project $65 million to $75 million in real estate and other asset sales, including those we completed in the first quarter. We continue to maintain a sizable real estate sales pipeline of approximately $50 million to $60 million, which combined with our expected free cash flow improvement will contribute meaningfully to our aggressive debt paydown strategy. Moving now to guidance, we are reiterating our prior guidance as described in today's earnings release with respect to revenues, same-store total revenues and first lien net leverage. We are increasing our 2023 full year outlook for both adjusted EBITDA and free cash flow by $5 million as a result of the first quarter results. We now expect full year adjusted EBITDA between $285 million to $305 million, which translates -- to expected year-over-year growth of over 15%. This growth is expected to be most significant in Q2 and Q3 of 2023 due to the cycling of the more significant revenue declines and the ramping of our cost management initiatives. Free cash flow is now expected to be in the range of $85 million to $105 million. We also raised our 2023 full year outlook for both net income attributable to Gannett and cash provided by operating activities by $5 million. For the full year, we expect net income attributable to Gannett to range from a net loss of $15 million to net income of $15 million, while cash provided by operating activities is expected to be in the range of $125 million to $145 million. Just to recap, I am extremely pleased with our Q1 performance, the progress of our strategic initiatives, our ability to effectively reduce our overall cost base as well as our day-to-day execution. As a result, I believe we are very well positioned for growth in our adjusted EBITDA and free cash flow in Q2 as well as the second half of 2023. I'll now hand it back over to the operator for questions, and then we can go to Mike for some closing thoughts.
Operator: [Operator Instructions] Our first question comes from Courtney Bahlman with Barclays.
Courtney Bahlman: Congrats on the results. I hopefully I didn't miss this, but could you guys give a little bit of color on how we should think about the cadence of assets, the remaining asset sales and kind of how debt paydown ties to that any color would be great?
Michael Reed : Yes, Courtney, this is Mike. Thanks. So with regard to debt paydown, we have our normal quarterly amortization that's obviously straightforward, $15.1 million in the quarter. And then the remaining $50 million to $60 million of asset sales will be a little bit more, lumpy. So there's, a couple of decent sized ones in there. So, I would say between now and the fourth quarter, we hope to complete most of that, and we factored that into our overall forecast for debt repayment of $120-plus million for the year, so real estate a little lumpy, because of a couple of sizable transactions, but really straightforward on the regular quarterly amor 32.43.
Operator: Our next question comes from Doug Arthur with Huber Research.
Douglas Arthur : I got to be brief here, because I'm going to jump on another call. But the digital -- I know you talked about slowing digital subscription subscribers down to maximize -- sort of approach -- with a more profitable goal in mind. That looks like sequentially, it looks like it actually dropped from the fourth quarter in terms of number of subscribers. What sort of -- is your expectation for growth in the volume number for the balance of the year?
Michael Reed : Doug, it was actually 6,000 so not much of a drop. I think we're at 2028 in the end of the first quarter it was 2022. We are focused on higher retention, higher paying, therefore, better ARPU and profitability on our subscribers, as I said, with better retention. So, we're focused on getting the right content in front of them, the right curation, the right personalization and then having the right marketing and pricing strategies in place. So we're playing with a few things here in Q1 and Q2 and expect to see much more significant growth in Q3 and Q4. We haven't provided any guidance on that yet. And I'd say that -- we'd like to be a little more comfortable with the success we see over the next few months to feel better about guiding to a -- subscriber volume number. But we feel very confident in the efforts we're undertaking to grow profitability in ARPU per subscriber to return to growth of paid subscribers from a digital perspective and to be able to increase the current revenue growth that we're seeing of 20%, return that to something higher as well. So I think there's definitely much more to come over the next couple quarters on that, Doug.
Douglas Arthur : Okay. I mean -- so in theory, you're probably seeing, hopefully, better stickiness among the existing subscribers, because...
Michael Reed : We are.
Douglas Arthur : You're sort of ferreting out the high churn ones.
Michael Reed : Yes, that's accurate.
Operator: There are no further questions at this time. I would like to turn the floor back over to Mike Reed, CEO for closing comments. Please sir, go ahead.
Michael Reed : Yes, thank you. I'd like to close this morning by reiterating how pleased we are with the significant progress we made in the first quarter. First quarter results were a little bit better than we had anticipated, and we were glad to see that. We saw significant growth in net income over the prior year, along with improving same-store revenue trends and essentially flat adjusted EBITDA compared to the prior year, reversing a decline in trends seen over the previous 5 quarters. We also made continued good progress in reducing debt, and we saw our net leverage decline in the quarter. We expect to see a lot more of that all of these things as the year goes on. We are very pleased that we are able to reiterate our full year revenue guidance along with increasing our full year guidance for net income, adjusted EBITDA and cash flow. We expect to see continued improvement in revenue trends as 2023 progresses, and we remain focused on achieving our revenue inflection point towards the end of 2024. Further, we expect to see significant adjusted EBITDA growth in 2023 versus the prior year as well as about $100 million in free cash flow growth this year. With our growth in adjusted EBITDA combined with our continued aggressive debt repayment, we expect firstly net leverage to be below 2x as we end this year. With the changes in our org structure and our strategic focus on leveraging our content org to grow audience and revenue, combined with our partnerships that will better monetize our significant audience on the platform and our improving strategy around digital subscriber and digital revenue growth, we are very optimistic about our continued improvement to revenue trends, not only in the back half of this year, but in 2024 as well. So with low leverage, good liquidity, a lower cost structure and improving same-store revenue trends, we are very well positioned to return significant value to our shareholders as we move forward. Thanks for joining us on the call today, and we look forward to updating you again at the end of the second quarter. Thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.